Operator: Good morning, everyone. Welcome to the Wyndham Hotels & Resorts Fourth Quarter and Full Year 2025 Earnings Conference Call. I would now like to turn the call over to Mr. Matt Capuzzi, Senior Vice President, Investor Relations. Please go ahead, sir.
Matt Capuzzi: Thank you, operator. Good morning, and thank you for joining us. With me today are Jeff Bilotti, our CEO; and Curt Albert, our Interim CFO. Before we get started, I want to remind you that our remarks today will contain forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. These risk factors are discussed in detail in our most recent annual report on Form 10-K filed with the Securities and Exchange Commission and any subsequent reports filed with the SEC. We'll also be referring to a number of non-GAAP measures. Corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release and investor presentation, which are available on our Investor Relations website at investor.wyndhamhotels.com. We are providing certain measures discussing future impact on a non-GAAP basis only because without unreasonable efforts, we are unable to provide the comparable GAAP metric. In addition, last evening, we posted an investor presentation containing supplemental information on our Investor Relations website. We may continue to provide supplemental information on our website and on our social media channels in the future. Accordingly, we encourage investors to monitor our website and our social media channels in addition to our press releases, filings submitted with the SEC and any public conference calls or webcast. With that, I will turn the call over to Jeff. Jeff?
Geoffrey Ballotti: Thanks, Matt. Good morning, everyone, and thanks for joining us today. We closed out a challenging year on a very strong note, delivering net room growth of 4% and full year comparable adjusted EBITDA and adjusted EPS growth of 4% and 6%, respectively, all in line with the outlook that we shared back in October. Against this backdrop, we opened a record 72,000 rooms, the largest number of organic room additions in Wyndham's history and 13% more than last year. We also signed 870 deals, which was 18% more than 2024's all-time high, further increasing our global development pipeline by 3% to nearly 260,000 rooms and more than 2,200 hotels. We drove a 15% increase in ancillary fee streams and our highly cash-generative business model produced $433 million in adjusted free cash flow, enabling us to return $393 million to our shareholders across the board where we could control the outcome our teams delivered in 2025. Our record number of new signings and openings are increasing Wyndham's long-term economics by securing franchise agreements that drive higher average royalty revenue. Our record development pipeline is now carrying an average fee par premium of 30% domestically and nearly 20% internationally compared to our existing system, which will enhance our future growth. Domestically, system growth was driven by strong conversion activity, including the Balfour Miami Beach, a luxurious Registry Collection Art Deco Hotel on Ocean Drive and the Barley House, an upscale trademark collection boutique hotel on the Marina in the heart of Fort Lauderdale, along with so many high-quality new construction prototype additions like the new Wyndham Garden in Anna, Texas, the La Quinta by Wyndham in Jackson, Tennessee and the new Microtel by Wyndham Twilla in the Great State of Utah. Separately, developer excitement for our Echo Suites brand continues to build with half a dozen Q4 openings in Round Rock in Pasadena, Texas; Peoria, Arizona, Springfield, Missouri; Conyers, Georgia and Naples, Florida. We closed 2025 with 18 Echo Suites now operating and with RevPAR and operating margins ramping in line with expectations. New hotels continue to break ground and development time lines are faster than ever as construction costs moderate. Following our introduction of DaZLR Select by Wyndham in the economy conversion lifestyle space back in October, we added another 3 highly rated DaZLER Select conversions, allowing hotel owners to preserve their properties' individuality while leveraging the power of our global distribution, loyalty, technology and marketing platforms. And after a highly competitive RFP amongst our lodging peers, we were thrilled to be selected by the Choa Nation in the fourth quarter to add the spectacular AAA 4-diamond Choa Casino & Resort in Durant, Oklahoma to our Wyndham Grand brand, along with the upscale resort additions of the Choa Landing Hocha Town, the Choa Pacola and the Chota Grant to our Trademark Collection brand. This affiliate relationship adds 2,000 upscale rooms, over 40 restaurants, bars and lounges, full-service pools and spas and over 100,000 square feet of state-of-the-art conference and event space for our global sales teams to sell, all with an easy reach of DFW International, a getaway that our over 120 million Wyndham Reward members will want to book, earn and redeem at, reinforcing why Wyndham Rewards continues to be the #1 loyalty program in the industry. The affiliated rooms from these Choa Resorts join us at an opportune time for our Wyndham Reward members as we'll be saying goodbye in the first quarter to approximately 3,000 legacy affiliated rooms, the bulk of which were sourced from travel and leisure and related to the closure of a handful of Wyndham Vacation Resorts that they have previously reported, along with rooms previously managed by Vacasa, which are being sold by Casa Go to its franchisees. While these terminations will not impact our ability to drive net room growth on a full year basis, they will create headwinds in the first quarter from a timing perspective. We continue to work on adding more aspirational upscale hotels and resorts, which expand opportunities for Wyndham Rewards members to earn and redeem to status match and to transfer benefits, increasing Wyndham Rewards membership enrollments, which grew 13% in Q4, growing the share of direct Wyndham Rewards occupancy that our franchisees enjoy, which grew to a record 54% domestically this quarter and identifying new customer markets to drive credit card sales, Blue Thread marketing and other ancillary revenue opportunities. Internationally, we increased net rooms by 9%. EMEA grew rooms by 8% with spectacular new conversions like the Wyndham Corfu, an elegant beachfront retreat on the Ionian Sea in Greece, along with several new construction additions like the Ramada Arna Buta in Turkey, a country in which we now have 130 direct franchise hotels open with over 40 more in our development pipeline. Latin America and the Caribbean increased net rooms by 5% with new conversions like the Oceanfront all-inclusive Casamarina Soua, a new trademark collection hotel in the Dominican Republic, along with new construction openings like the Wyndham Natal Pitonggi Beach on the sands of Petonggi Beach in Brazil's dyillic Northeastern tourist destination. In Southeast Asia and the Pacific Rim, we grew net rooms by 11% with upscale conversions like the EvoloWualumalu, an upscale Wyndham hotel located on the heritage-listed Finger Wharf in downtown Sydney Harbor, along with several exceptional new construction additions like the Oceanfront Wyndham Go Sun, South Korea. And finally, in Mainland China, we again grew our direct franchising system double digits by an impressive 14%, expanding our footprint across the country with conversions like our 136th Days Inn Hotel in Changsha and so many new construction additions like our 20th Hawthorne Suites in Xi'an and our 31st Microtel by Wyndham in NnXijianshi, along with dozens of other luxurious new openings like the Wyndham Lean in Sichuan province. Fourth quarter global RevPAR declined 6% in constant currency, with domestic RevPAR down about 6 points, excluding hurricane impacts in 2024 and international RevPAR declined 1 point. While we continue to see strength in several important Midwest and industrial states for us like Missouri, Minnesota, Michigan, Wisconsin and Oklahoma, where we're seeing increasing infrastructure demand being contracted, it was more than offset by continued softness in our 3 largest states, Texas, California and Florida, which account for 1/4 of our U.S. room count and which excluding hurricane impacts, declined 11%. Importantly, booking windows and cancellation rates both improved versus fourth quarter 2024. And on a full year basis, U.S. RevPAR declined 4%, which was in line with our expectations. In a moment, Kurt will walk you through our expectations for the full year. Excluding hurricane impacts, the decline of 6% we saw in Q4 improved to down 4% in January and has further improved thus far in February. Leisure and corporate bookings are beginning to pick up as reflected in our booking backlog. And as we approach the month of March, we'll lap the beginning of when our RevPAR significantly decelerated in 2025 and when our domestic comps become meaningfully easier. Internationally, in the fourth quarter, we continued to see solid growth across our EMEA region with RevPAR up 7%, driven by considerable strength in Southern Europe and across the Middle East. Our Latin America region also delivered impressive RevPAR growth of 6%, an 11-point sequential improvement from the third quarter, reflecting strong leisure demand and pricing power from our more upscale brands across the Caribbean. Performance in Asia continues to lag the rest of our international regions. Southeast Asia and the Pacific Rim was down 2%, primarily due to weakness in Korea, and China was down 10% with continued ADR declines in their deflationary economy. We once again delivered outstanding growth in our ancillary revenues. New strategic partnerships and affiliations, new technology initiatives and continued momentum in our co-branded credit card program fueled a 19% growth in fourth quarter ancillary fees, bringing full year growth to 15% slightly ahead of our expectations from the beginning of the year. After its launch in October, Wyndham Rewards Insider, our Travel Rewards annual subscription program, saw its month-over-month paid membership double in November and then again double in December as our teams work to fully integrate Wyndham Rewards Insider into our booking paths and digital platforms. We also recently signed an agreement with Mastercard to create our first international co-branded credit card in Canada, which is expected to launch later this year. Like all of our U.S. offerings, we will be including both no-fee and premium card options. This is an exciting growth opportunity for us, not only designed to bring more members into the Wyndham Rewards ecosystem and drive incremental ancillary revenues in Canada, but also serving as a blueprint as we plan for expansion of our credit card platform into additional new international markets. On our third quarter call, we highlighted the success of our AI initiatives with nearly 350 Agentic AI agents handling millions of guest calls and reservation requests, driving hundreds of basis points of additional direct bookings and generating incremental revenue while reducing on property labor costs for our franchisees. With a track record of proven results, we're accelerating our aggentic AI capabilities on the data foundation that set our transformation in motion. Through our partnership with Salesforce, we created a first-of-its-kind Guest 360 data product, establishing a scalable AI factory that enables us to rapidly design and deliver advanced solutions that deepen engagement with both our guests and franchisees in ways we never imagined possible. We continue to work with public LLMs, including Google AI Mode and ChatGPT to establish direct connections of our hotel data to eliminate the need for these models to scrape our sites. For example, in November, Google selected Wyndham as one of a handful of partners to take part in an agentic booking experience on AI mode in search. Soon, guests will be able to discover Wyndham properties through natural conversational interactions while our connected systems enable seamless direct bookings within AI mode. And we're very excited to share that we successfully connected to Anthropic Clad, the family of LLMs known for its emphasis on safety and human-like reasoning with over 30 million monthly active users. It's an early glimpse of how AI native distribution will reshape the way guests find and book our hotels, which helps us rapidly improve the guest experience and increase direct booking capture. Before I wrap up, as you saw in our release last night, we recorded noncash charges in our fourth quarter results related to the recent insolvency filings of a large European franchisee, Revo Hospitality Group. While our balance sheet exposure to Rivo was secured by certain collateral and guarantees, the scope of these filings has unfavorably impacted the value of our security and our expected recovery. We've engaged an experienced team of advisers to assist us during this complex process, and Kurt will walk through the impacts to our financial statements and reporting metrics in a moment. We want to extend our heartfelt appreciation to our team members around the world. Our resilience in 2025 would not have been possible without their dedication and their support. Their commitment to our economy culture and to delivering the very best value to owners and guests in the face of what was considerable global RevPAR challenges remains the key to our continued success as the world's largest hotel franchisor. On behalf of our entire team, we would also like to recognize Alexandra Young, who joined our Board of Directors in November. Alex is an accomplished leader who is recognized as an expert in global portfolio management and international investment, and our expertise spans multiple sectors, including hospitality and real estate. She serves on our corporate governance and audit committees, bringing valuable expertise to our Board. And finally, I'd like to welcome Kurt Albert, our Interim CFO, who continues to lead our global finance organization while we complete our comprehensive search for a permanent CFO, which we expect to conclude in the coming weeks. And with that, I'll now turn the call over to Kurt. Kurt?
Kurt Albert: Thanks, Jeff, and good morning, everyone. Having spent more than 15 years with Wyndham, I have a deep affinity for this organization and have truly appreciated the opportunity to increase my engagement and conversations with the investment community since stepping into the CFO position a few months ago. That said, I'll begin my remarks today with a detailed review of our fourth quarter and full year results, followed by an update on our cash flows and balance sheet. I'll then cover our 2026 outlook. Before we begin, let me remind everyone that the comparability of our financial results continues to be impacted by the timing of our marketing fund spend. In the fourth quarter of this year, marketing fund expenses exceeded revenues by $2 million compared to revenues exceeding expenses by $5 million in the fourth quarter of last year. During full year 2025, marketing fund expenses exceeded revenues by $3 million, while in 2024, marketing fund expenses exceeded revenues by $1 million. To enhance transparency and provide a better understanding of the results of our ongoing operations, I will be highlighting our results on a comparable basis, which neutralizes the marketing fund impact. As Jeff just mentioned, one of our large European franchisees, Revo, filed for insolvency proceedings for most of its operating entities under self-administration last month. Given collectibility concerns, we began deferring all Revo-related revenues starting in the fourth quarter. While these hotels continue to operate under our flags, they will remain in our system size, RevPAR and royalty rate metrics and fees owed to us will continue to accrue. For the purposes of our 2026 outlook, we have taken the conservative step of removing all Revo-related revenue recognition from our expected results until such time that we have greater certainty on expected outcomes and collectibility. We also recorded noncash charges of $160 million within the operating expenses and impairment lines on our P&L, which reflects a write-down to the net realizable value of the loans outstanding, accounts receivable and development advances with Revo as well as the carrying value of our Vienna House intangible assets. As Jeff said, we are continuing to work closely with a strong team of local advisers to pursue all available remedies to maximize the recoverability for our shareholders. And importantly, this relationship represents a unique circumstance given Revo's concentration within our portfolio. In the fourth quarter, we generated $334 million of fee-related and other revenues and $165 million of adjusted EBITDA. Fee-related and other revenues declined 2% year-over-year, primarily reflecting a 5% decrease in global RevPAR, lower other franchise fees and the deferral of fees from Revo. These headwinds were partially offset by a 19% increase in ancillary revenues and system growth of 4% -- despite a 5% decline in RevPAR, a $7 million reduction in fee-related and other revenues and increased costs associated with insurance, litigation defense and employee benefits, fourth quarter adjusted EBITDA increased by 2% on a comparable basis. We'd like to thank and recognize our teams around the world who did a fantastic job this quarter, helping to drive cost containment measures, combined with operational savings aided by the realization of AI investments that drove efficiencies. Adjusted diluted EPS for the quarter was $0.93, down 4% on a comparable basis as a previously anticipated higher effective tax rate and higher interest expense was partially offset by comparable adjusted EBITDA growth and the benefits of share repurchase activity. For the full year, we generated approximately $1.43 billion of fee-related and other revenues and $718 million of adjusted EBITDA. Fee-related and other revenues increased $25 million year-over-year, primarily reflecting a 15% increase in ancillary revenues and higher pass-through revenues associated with our global franchisee conference in 2025, partially offset by lower royalties and franchise fees and lower nonconference-related marketing, reservation and loyalty revenue. The decline in royalties and franchise fees and nonconference-related marketing, reservation and loyalty revenue primarily reflects a 3% decline in global RevPAR and the deferral of fees from Revo, partially offset by system growth of 4% and a 7 basis point increase in our U.S. royalty rate. The strength and efficiency of our business model in the face of declining U.S. and global RevPAR resulted in full year adjusted EBITDA increasing by 4% on a comparable basis. This increase primarily reflected our growth in ancillary revenues as well as cost containment measures, including onetime variable cost reductions, partially offset by lower royalties and franchise fees and increased costs associated with insurance litigation expense and employee benefits. Adjusted diluted EPS increased 6% on a comparable basis to $4.58, reflecting adjusted EBITDA growth and share repurchase activity, partially offset by higher interest expense. Adjusted free cash flow was $168 million in the fourth quarter and $433 million for the full year with a conversion rate from adjusted EBITDA of 60%, slightly ahead of our expectations due to favorable working capital timing, which will reverse out in Q1. Our adjusted free cash flow yield of 7.5% continues to be best-in-class within the lodging sector. Development advance spend totaled $32 million in the fourth quarter, bringing our full year investment to $105 million, in line with our expectations and largely consistent with our spend in full year 2024. Less than 1/3 of our openings in 2025 included development advances, room openings that are entering our system at a feePAR premium nearly 40% above our current system. Over the course of 2025, we added hotels in feePAR accretive markets such as Miami Beach, Houston, Atlanta, Mexico City and Singapore, and we expect to continue improving per room EBITDA economics, creating a compounding benefit over time. We returned $393 million to our shareholders in 2025, representing 5% of our market cap through $127 million of common stock dividends and $266 million in share repurchases. Over the past 5 years, we have returned 37% of our market cap to our shareholders, leading all lodging C-Corps in capital return. Earlier this month, as part of our continued commitment to shareholder returns, our Board of Directors authorized a 5% increase to the quarterly cash dividend, raising it to $0.43 per share, beginning with the dividend expected to be declared in the first quarter of 2026 and reflecting the Board's ongoing confidence in the strength of our business model and our ability to consistently generate strong cash flows. And as a result of the completed refinance of our revolving credit facility in the fourth quarter, we closed the year with approximately $840 million in total liquidity, and our net leverage ratio of 3.5x remained as expected at the midpoint of our target range. Now turning to outlook for 2026. We expect full year global net room growth of between 4% and 4.5%. From a timing standpoint, in the first quarter, given the known termination of approximately 3,000 rooms that Jeff mentioned earlier, we expect our global system to be largely flat sequentially before returning to growth in Q2. Additionally, our full year net room growth outlook excludes any potential termination impact associated with Revo's ongoing insolvency. We are projecting global RevPAR to finish between up 0.5 point to down 1.5 points. Our expectations reflect several key dynamics. While U.S. RevPAR performance trends have improved thus far in 2026, given the first quarter features our most challenging comps of the year, we expect first quarter U.S. RevPAR to range from between down 3% to down 2%. As we move into the second quarter, we expect U.S. leisure demand to begin to improve, aided by events such as the FIFA World Cup and the 250th anniversary of America as well as the potential for U.S. government stimulus as we get closer to the midterm elections. However, and importantly, in order to achieve our full year outlook, we would only need U.S. RevPAR from Q2 to Q4 to be approximately flat. Full year international RevPAR growth is expected to remain roughly in line with 2025 performance. While the strong performance we saw in EMEA, Canada and Latin America in 2025 may grow at a bit of a slower rate in 2026, we are anticipating the potential for offsetting benefits from an improvement across Asia Pacific as China's recovery continues. Moving on to the financials. Fee related and other revenues are expected to be $1.46 billion to $1.49 billion, which includes low to mid-teens year-over-year growth in our ancillary revenues. Adjusted EBITDA is expected to be between $730 million and $745 million, growing year-over-year by 2% to 4%. Excluding the previously noted return of approximately $15 million of onetime variable cost savings, and the impact of the deferral of approximately $12 million of royalties related to Revo, our adjusted EBITDA would otherwise be expected to grow between 5% to 7%. While we expect our marketing funds to break even on a full year basis, -- we will continue to see timing differences in our quarterly results. We expect to spend the funds by approximately $15 million to $20 million in the first quarter and then underspent in each of the remaining quarters of the year. Additionally, including the impact of our marketing fund spend, we would expect to generate approximately 20% of our full year adjusted EBITDA in the first quarter, consistent with the Q1 percentage of our full year 2025 adjusted EBITDA. Adjusted net income is projected to be $354 million to $368 million, and adjusted diluted EPS is projected at $4.62 to $4.80 based on a diluted share count of $76.7 million, which, as usual, assumes no share repurchase activity or incremental interest expense associated with any potential borrowing activity. Free cash flow conversion before development advances is expected to range from 55% to 60%. In addition to the cash we generate from operations, we will also continue to benefit from a strong balance sheet. Combining our excess free cash flow and incremental capacity while maintaining leverage at 3.5x based on our projected EBITDA growth, we would anticipate having up to $400 million of available capital in 2026 to either invest in the business or return to shareholders. We expect approximately $110 million of this available capital will be deployed as development advance spend roughly consistent with 2025. In closing, despite the challenges we faced in 2025, our results continue to reflect the highly cash-generative nature of our business, and a business model that has a proven ability to generate organic adjusted EBITDA and EPS growth amid macro uncertainty. We are entering 2026 with a strong balance sheet and efficient operating cost structure, prolific ancillary revenue growth and the potential for significant demand tailwinds. We will continue to invest in high-return growth opportunities and digital technology in order to provide incremental profitability for our owners while returning excess capital to shareholders in a consistent and sustainable manner. We are enthusiastic about building on our successes and capturing the opportunities that lie ahead in 2026. With that, Jeff and I will be happy to take your questions. Operator?
Operator: Thank you very much, Mr. Albert. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] We'll go first this morning to Brant Montour of Barclays.
Brandt Montour: So I was hoping you could put a finer point on what you're seeing year-to-date in terms of RevPAR, if you're actually seeing occupancy build sequentially? And where -- which segments and what type of demand segments that you're actually seeing that building? And then sort of last follow-up to that same question, would be how much of -- are you putting any of these green shoots that you're seeing on my words green shoots into your flat Q2 through Q4 average implied RevPAR growth in your guidance? .
Geoffrey Ballotti: I'll let Kurt talk about the guidance, but I'll talk first about just how encouraged we are year-to-date. With a significant improvement in January. I mean, to your question, it is the first real sign of green shoots that we've seen in a while. Overall, January U.S. RevPAR was down 4% normalized, and all of that RevPAR improvement was demand driven, which is just for us, so great to see. We saw very positive January trends as well in the 3 states that have dragged us down. We've been talking about over the last couple of calls. . Texas improved by 600 basis points year-over-year in the quarter from down 5% to plus 1 in January, which is great to see. Florida improved 400 basis points from Q4 to what we saw in January. In California, we're seeing really no signs of any deterioration in the RevPAR as we had been all along last year. So we're seeing continued strength, as we talked about in the Midwest, Wisconsin up 7%; Minnesota, up, Oklahoma, Michigan, all up, mid to low single digits. In February continues to improve in line with what we saw in January, just great news. And I think as you've all seen in the STR and the economy set which began improving, as we all know, in the late summer, it's continuing to improve. If you look at the last 4 weeks versus the last 8 weeks, last 4 weeks are 200 basis points better than the last 8 weeks. And again, our normalized U.S. occupancy here in the U.S. has only continued to improve. October was down 4%; November was down 3%, December down 2%, January only down 1%. And going back to 2019, one of the things I think a lot of folks miss is occupancy has recovered more so in economy and mid-scale, than it has in any other segment. If we look at upper upscale and luxury occupancy, which were both down 8%, 800 basis points to 2019 for the fourth quarter, economy and mid-scale perform 200 and almost 500 basis points better, respectively. And it's starting to feel like demand is beginning to really improve that -- those green shoots are beginning to come with the longer-term opportunity for our franchisees and small business owners being rate. I mean, as we know upscale hotels have been able to price much more aggressively than our chain scales where the guest is obviously more price sensitive. ADR for economy was up 11% to 2019, but it was up 30% in the luxury segment. And that was the only segment that was able to outpace that 25%, 26% growth in inflation. So that's very good news from an green shoots standpoint to our economy and mid-scale owners from a pricing standpoint with ADR still a good 1,500 basis points below inflation. And so as unemployment remains at historic lows and wage growth continues to outpace inflation. We think that's going to provide upside when consumer confidence does stabilize. And RevPAR returns which we know it will to its 3% 30-year CAGR. But Kurt, maybe you could tie that into the guidance.
Kurt Albert: Yes. Bren, I think when we think about some of the green shoots that we touched on in the prepared remarks. We have not necessarily tried to build an individual level of opportunity directly into our guidance, really 2 reasons. One, in isolation, some of these might end up being smaller and/or harder to quantify. And two, really the ultimate impact to the year will really be determined by when we do start to see some of these benefits come to fruition. So the way we're thinking about it is as the year progresses and we see how these tailwinds materialize and start to maybe stack together, that could end up being how we get towards the higher end or maybe even above where our guidance is right now.
Operator: We'll go next now to David Katz with Jefferies.
David Katz: Good morning, everybody. So Jeff, I could probably venture an educated guess what your kind of least favorite part of the whole report. But you talked in your opening comments about a lot of different things that are positive. Do you have sort of 1 aspect of this sort of whole earnings report that you would pull out as sort of the most positive or your favorite?
Geoffrey Ballotti: David, that one thing would be development. If we look at net room growth acceleration, along with the acceleration in our executions and the growth of our pipeline, that would be the one thing that we're most excited about. I mean, to see the accelerated net room growth in these higher-fee par segments continue as we did a record 72,000 organic rooms, almost 600 hotels. It was up 13% to what was last year a record. And it just continued to build throughout the 4,000 net rooms added in Q1, 7,000 in Q2, 9,000 in Q3 and nearly 14,000 in Q4. That was the one thing that I think really stands out for all of our teams. And we are encouraged by both new construction and conversion. I know there's been a lot of talk across the industry that new construction pipelines are pressured. We're not seeing it. We're seeing growth in our new construction executions, which were up 15% the prior year, and new construction openings. Domestically, our new construction openings increased 50% year-over-year. And globally, they increased 7% and over 30% of our openings this year were construction. Conversion is still solid. It was up 16% with good growth across the board. Our prototype brands like Hawthorne Sweets and Garden and La Quinta, all saw solid growth, both on the conversion and the new construction side. And our economy brands, Days Inn, Super Travelodge all saw double-digit growth in economy opening. So I think the 1 thing we're really excited about, our franchise sales team have delivered a pipeline for us looking forward. that is larger and stronger than ever, 870 deals signed. That was a record for the full year, up 18% in really high fee part regions like across Latin America and Europe, Middle East Asia, it was really encouraging for us to see, and that would be my highlight.
Operator: We go next now to Dany Asad with Bank of America.
Dany Asad: Jeff and Kurt. Just a demand question for you. So if we look at the 20% of bookings that are infrastructure related, how does the RevPAR from that demand segment compared to that of the leisure traveler and should we expect the mix of the 20% infrastructure versus the 70% leisure? Should we expect that mix to change over time as you move into higher fee part rooms?
Geoffrey Ballotti: Thanks, Danny. We will expect it to increase. Excluding the impact of the federal government, which was a considerable drag for us. Infrastructure performed a bit below leisure I think leisure was down something like 6. Infrastructure is probably down about 8%. But infrastructure, we believe your question will continue to perform better than it did in 2025. And we expect it to continue to pick up. We still view that $1.2 trillion infrastructure spend as a real multiyear tailwind for us. And additionally, it will get back to driving that 150 basis points of additional RevPAR growth that it did for us in the Q4 of 24 pre-dose and pre-government shutdown, which slowed us down, this year. And we're also very encouraged about hotels, and there are so many private investment projects, infrastructure projects, especially data centers and semiconductor fabs, which, as we talked about, continue to outperform from a RevPAR and our RPI standpoint, excluding the government and the Fed rooms, which obviously down, as I mentioned, infrastructure demand, it kept pace. It helped drive, we believe, our weekday economy occupancy improvement that we saw each month of Q4. Economy occupancy, which was down 7% in October, 5% in November, 2.5% in December, that improvement just demonstrated the continued resilience and gradual pickup of our infrastructure demand. Our GSO teams did a fantastic job. Consumer revenue for full year grew 220 basis points with so much of that growth being infrastructure-related. And our contracted room nights right now are up about 2x what our consumed infrastructure room nights are. And our GSO year-to-date infrastructure booked and consumed is pacing well ahead more so than it fell off about 240 basis points ahead of same time last year. So we think it will continue to pick up.
Operator: We go next now to Patrick Scholes of Truist Securities.
Charles Scholes: A question then a follow-up question. And the first one, sorry if I missed it. Did you quantify what the RevPAR impact was in the fourth quarter from the government shutdown or another way of saying it, how much of an easy comp do you have from that in the upcoming 4Q? Yes. .
Kurt Albert: Patrick, in the fourth quarter of this year, the government shutdown was not a significant headwind, but it was about 50 basis points, maybe a little bit less than that, that we'll have coming up to a next fourth quarter.
Charles Scholes: Okay. So a little bit of a tailwind there from that coming up. Then not to dwell on the negative. Can you talk a little bit more about this bankruptcy? And was this with the Revo exactly what happened there? And was this the same -- was this the $44 million investment that you had made in this -- in 2022, just to make sure I'm understanding what your original participation in that was.
Geoffrey Ballotti: Yes. Patrick, to your last question first, it was tied to the -- some of the loan investments we made earlier this year. As we noted in our prepared remarks, we learned about the solvency during the preparation of our year-end financial statements in January. So this drove the timing of recording the charges that we did in our fourth quarter results. since the filing we've been working closely with our team and advisers to determine next steps in this process and ultimately understand what our plan looks like moving forward. Right now, it's really too early to speculate on what potential outcomes could look like. It's very early in the proceedings. And we believe while we boys they want to emerge from insolvency this year possible, we also believe these proceedings could last months -- many months potentially.
Operator: Next now to Dan Politzer with JPMorgan.
Daniel Politzer: I just wanted to follow up on the Revo topic. You had the Super MFA earlier this year. I mean, are there other franchisees or agreements that we should be kind of thinking about that are possibly in the danger zone. Has there been any change in your underwriting standards you've kind of sought these higher fee part deals. And then as we think about just kind of in terms of the overall program, what's the collection rate or the rate of this kind of stuff happening just we can gain a little bit more comfort with it? .
Geoffrey Ballotti: Dan. I think what we touched on briefly in our prepared remarks is this circumstance was certainly an outlier on a number of levels. given the size, the history of the relationship that we had with the partner and then ultimately, the level of capital deployed. The way we think about it, when we look at our balance sheet right now and excluding anything that was related to Revo. There is only about $20 million of total additional loan expense across all of our other franchisees that we have around the world. And then similarly, when we look at our development in that are outstanding, no franchise more than about 5% of that balance. So -- this was really the exception. Ultimately, it was a situation that we feel like was also very different than the Super rate situation earlier this year, which was the legacy Master relationship. So we do view it as an outlier. In terms of your second part of your question and how we're thinking about it moving forward, deployment of capital to support our business growth will remain and is and has always been our top priority. So short answer, we will absolutely continue to invest in the growth of our business, and we believe and we know we have ample capacity to do that. And so frankly, it does not change our position there. And like we do with all of our deals that have capital tied to them, we always will look back and evaluate what happened and anything that we can do moving forward to make sure that we put ourselves in the best position to succeed.
Operator: We'll go next now to Stephen Grambling of Morgan Stanley.
Stephen Grambling: In the presentation, you highlighted a number of initiatives with AI partners. I was hoping you could just share maybe how to think about any costs or potential benefits from some of these initiatives? I know it's very early, but is this something that could eventually end up with new fee streams and what are some of the initial tests revealed in terms of the benefits of the system and what KPIs we should be tracking to evaluate the success of some of these.
Geoffrey Ballotti: Thanks, Stephen. Yes, Matt and Scott Strickland and Mike Mahar, who -- our Chief Technology Officer, put in three great new slides. I'll take the first part of your question on costs. I mean there are nominal costs, say, less than $100,000 to connect our MCPs to the LLMs. There are no transaction costs, however, in Claude today, the guest receives a link to complete the transaction on our brand.com site. Chat GPT works the same way. And yes, I mean, looking forward, you'll see ads that seek to monetize some of that I think, Claude has said they're not doing it, they're not ever going to do it, but we'll see. In terms of how we think about the benefits and what it's doing for our franchisees, I mean it is just massive opportunity for us on so many different levels. And I think the exciting thing for us is we're no longer piloting these word deploying them. On the second quarter call, we talked about Wyndham Connect, which is a trained large language model, partnered with Canary technologies. There's a quote there on Slide 5 from Canary CEO that is allowing our over 5,000 of our hotels today to talk directly to all of their guests via AI. And it's taking costs for our franchisees in small business owners out of their front office it's allowing them to make extra money. We talked about this. I think this was your question on the last call by selling early check-ins and late checkouts and upgrades and amenities. And it's providing them with an economic platform free of charge that they did not have before to monetize that platform, small and large. We have a very engaged Howard Johnson's hotel, outside of the main gates of Anaheim that's making over $10,000 a month in incremental fees that are going to that hotel's bottom line. That's $120,000 a year. In a typical select service economy hotel may generate 5 million. So it's a big, big deal. The Wyndham Connect Plus that we outlined also in the deck, is leveraging Sales force and Canary with 350 AI agents. We talked about this on our last call, that's handling hundreds of thousands of guest calls and handling all the requests, again, saving franchisee labor costs, but most importantly, to your question, it's driving that direct contribution, over 300 basis points of direct contribution to franchisees who who are using it. And then this call and again, in the IP, we laid out where we are with ChatGPT with Gemini, full AI and with Claude seamless direct booking capabilities. to really with Cloude right now, it's live, click to book through to wyndham.com, and we're launching Wyndham apps on all of the emerging LLM via either our MCPs or our APIs directly. And that will continue to add new capabilities to optimize most importantly, how our brand sites appear in those searches to drive more direct bookings.
Operator: We'll go next now to Michael Bellisario with Baird.
Michael Bellisario: Just 1 question on net rooms growth. One, are you guys doing more affiliate deals like Chata and then kind of help us understand what's the opportunity set there, and I understand these are higher fee programs, but you're only getting paid on the direct contribution, if that's correct. And then just any numbers on what percentage of your rooms growth or gross openings in '25 or '26 are coming from these PPAR affiliate deals, but where you're only getting site 10%, 20% of the bookings? Any color there would be helpful.
Geoffrey Ballotti: Yes. Mike, we report on affiliates annually and their properties, as we've talked about, under agreement with either our former Wyndham Worldwide parent. T&L, as we talked about, or new third-party partners like our recent affiliation with Chata, which was a very competitive process, and we were thrilled to be selected. In terms of what percentage to your question of affiliate ads in 2025, I think it will be consistent to what we've been reporting on for the last several years. . And the first part of your question, I mean, we will always look to add more aspirational hotels and resorts, where they make sense as Chocta does. Where they are providing our guests access to something unique that we don't have upscale vacation experiences. And importantly, where our Wyndham Reward members often most want to redeem and vacation, and I'd also add, they're very accretive and very helpful in driving our credit card and our ancillary our ancillary fee growth that has been doing so well.
Operator: We'll go next now to Ben Chaiken at Mizuho.
Benjamin Chaiken: Jeff, or whoever wants to take this, how do you envision the ranking system within AI, how do you envision the ranking system working as consumers search for hotels to the extent you have a view -- do you think this will be a traditional kind of CPC auction model? Or do you have a sense that it will be determined purely on relevancy in the search. Obviously, it's early. It would all be your opinion on how that plays out. And kind of related, you've talked about the MCP server, maybe you could talk about how you're using this opportunity to differentiate the attributes associated with your assets to make them more relevant. And am I thinking of that in the right way?
Geoffrey Ballotti: Yes, I think you are. I mean, we've One of the things that our investment in our tech foundation allowed us to do is working with class partners like AWS and Oracle and taking a very data-driven approach with with a really mature and an established Salesforce data 360 product. We've been able to personalize a genic Guest 360 experience all in 1 place. It centralized our res, our loyalty, our CRM data, and I mean the way we're thinking about it is in terms of how that is allowing our guests in real time to answer questions in book direct, and check in and check out. We -- to your point, it's early days. But in terms of how we're communicating with our guests and delivering for them, answering these voice calls and messages and most of that volume through voice right now through the AI completing the booking, driving significant cost reductions for our call centers and and freeing up resources to redeploy in the marketing fund and sending the guests all of our availability, all of our rates, all of our inventory which they were already getting by scraping our brand.com sites. But by connecting direct, we ensure that the data is the most accurate, the most current it could be and that our rates are always in parity for a guest who's shopping. And so our focus is really on driving more direct bookings, and it's early days, to your point, and that's what we're seeing.
Operator: Thank you. We go next now to Ian Zaffino with Oppenheimer.
Isaac Sellhausen: This is Isaac Sellhausen on for Ian. Could you touch on the drivers of the ancillary fee growth in '25 and then maybe some of the factors that enable you to grow in the low to mid-teens this year.
Kurt Albert: Sure.Isaac, I think our biggest driver, like we've touched on a number of our previous calls is and will continue to be our U.S. toll brand card. We had the benefit of renewing that partnership with Barclays on a long-term deal and that provided some significant tailwinds, not just for 2025, but also in the early part of 2026. And in conjunction with that, it will -- and it has allowed us and our teams over at Barclays to work specifically on freshening up the program and the suite of products and the value proposition on those cards. And so we see that to continue to be a big opportunity as we get into the second half of the year and then beyond. But that's not our only lever, of course, and our teams are hard at work. We've announced over the -- now in the last 12 months, a debit product in the U.S., we just announced this morning, you heard Jeff talk about our co-brand card that will be coming later this year in Canada. And of course, we're not going to stop there. We are evaluating our opportunities around the world. and we'll update you when those are available. And the same thing holds true with our different partnerships and affiliate relationships. And of course, then Wyndham Insider, which we do believe is a -- will be a unique game changer for us as we think about an opportunity to really engage with our members in a way that we have not yet been able to.
Operator: We'll go next now to Meredith Jensen with HSBC.
Meredith Prichard Jensen: I was hoping you speak a little bit more about China, and perhaps unpacking a little bit what you saw at the end of the year and how the demand turns figure into the guidance that you gave? And maybe add on a little bit about development there and chain scale strategy. I know you mentioned the Baymont launch. So that would be great.
Geoffrey Ballotti: I'll start, and then I'll let Kurt touch on guidance. Our brands in China were -- Meredith, much like here in the U.S., they were the first to recover coming out of the lockdown. And looking at our overall RevPAR today versus where it was back in '19, we're in line with Smith Travel, and we're actually ahead of the industry by about 400 basis points in our China direct RevPAR, which was down 19% still to 2019 versus STR down 23%. In the quarter, overall, China ADR, which was good to see improved by 200 basis points from down 8% to down 6%. And what we all know is a deflationary economy, which is the longest inflation streak in China since the 1960s and likely to soon turn. There is just a tremendous occupancy opportunity and tailwind at only 83% at 2019 levels. And we think that has the opportunity to come back as ADR is already coming back for us and for our hotels over there after having been the first to recover. From a development standpoint, gosh, our room growth in China was spectacular. And the deals that we're signing now have royalty rates approaching 4% and overall royalty rate approaching our international royalty rate, which is great to see. And the bottom line for us is that every China room we add add incremental revenue and annuity like fee stream to our business. We grew rooms overall and delivered a 14% net room growth in the direct fee PAR accretive rooms. We executed 49 new deals in Q4. We -- a lot of those were Baymont to your point, and it brought the year to 182 signings, which was up 10%. So we're feeling really, really good about our long-term prospects in China as the country recovers. And we do want to add new brands like Baymont, like we have with Hawthorn Suites and La Quinta to capture those guests who are trading up who want a reliable international name at a domestic price point. But Kurt, if you could touch upon the guidance.
Kurt Albert: Yes. Meredith is the way we're thinking about China is we know that 2025 was a tougher year for our brands in the market. But overall, when you look at how we are stacked up with the industry compared to 2019, basically in about the same place. And so moving forward, we're not expecting to see the same type of year-over-year declines in the market. I think the industry is projected to be about flat for 2026. And that's where our brands are right on top of where the industry is. That's what's driving our underlying assumption is a performance much closer to flat in '26. And that will be would be a significant improvement from what we saw in '25.
Operator: We'll go next now to Lise Dove with Goldman Sachs.
Elizabeth Dove: I wanted to go back to U.S. rooms growth is possible. Obviously, some moving pieces in Q1 that you called out. But curious how to think about U.S. rooms growth just for the rest of the year and even just longer term. It feels like some of the operators are going into more of these conversion-friendly type brands in that kind of premium economy segment, which might overlap with you, but then you also have nice momentum happening right now at mid-scale and above. So just curious how to think about those puts and takes long term.
Geoffrey Ballotti: Yes. I mean we're encouraged, obviously, by the pipeline, Lizzie, that U.S. continues to pick up, really encouraged with, obviously, the conversion rooms, which were just so solid. And we continue to have an opportunity with our economy openings. I mean we opened 10,000 economy rooms domestically this year in 2025 versus 5,000, and in 2024. 2,000 of those were Echo suites. But just that was a 90% growth in economy opens, which drove a 4% U.S. gross adds to our economy system, which we we haven't seen in a while with a best-in-class economy retention rate of over 94%. And you couple that domestically with how we're growing, at over 2% net room growth in the domestic mid-scale brands that you just mentioned. 2025 was the most opens in 9 years. Conversions are picking up, and the pipeline continues to grow. We're feeling feeling really good about the U.S.
Operator: And we'll take our final question today from Trey Bowers with Wells Fargo.
Unknown Analyst: I guess just building on that, it was noticeable that economy rooms had the lowest declines. I think we've seen in many years, but mid-scale room slowed a little bit. Just on that mid-scale and above -- can you just dig in on some of the brands that are getting you guys excited and feel like could further accelerate that domestic pace? And then I guess I'll ask a piece of that I'm not sure if I missed this, but should we kind of expect to see a similar level of domestic net growth this year to last year? Or should we model for some level acceleration? .
Geoffrey Ballotti: Yes. I think similar, Trey, is fair. And in terms of the brands, I just mentioned day super travel all showing be digit growth. Mid scale brands were our prototype brands. on both the new construction and the conversion side. We domestically signed 30 new construction deals. David Willner and his team just did a great job for our La Quinta new construction, Hawthorn Suites new construction. Obviously, extended stay is really hot right now. Our Microtel by Wyndham is doing really well. And on the new construction side, the number of projects, the percentage of projects in the ground, I think we talked about this increased 300 basis points. We have a great new leader Keyera architecture design and construction team, and we're really excited about what we're doing on the new construction side. But extended stay is obviously hot for us across all scales. We've got a great economy extended stay brand, Echo Suites, which we talked about in our script, mid-scale with Hawthorn Suites and an upscale with Water walk. All 3 of those are exciting and doing well. But I think it's great to see the acceleration, and we're looking for that to continue.
Operator: And that will conclude our question-and-answer session this morning. Mr. Ballotti, back to you, sir, for any closing comments.
Geoffrey Ballotti: Well, thanks, Also, and thanks, everyone, for your questions and your interest in Wyndham Hotels & Resorts. We look forward to talking to and seeing many of you in the months ahead at many of the upcoming investor conferences that we'll be attending. In the meantime, have a great weekend ahead, everybody, and thanks again for joining us. .
Operator: Thank you, Mr. Ballotti, and thank you, Mr. Albert. Again, ladies and gentlemen, this does conclude Wyndham Hotels & Resorts Fourth Quarter Full Year 2025 Earnings Conference Call. Please disconnect your lines at this time, and have a wonderful day. Goodbye.